Operator: Good day, and welcome to the Duluth Holdings Inc. First Quarter 2025 Conference Call and Webcast. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference call over to Ms. Nitza McKee. Ms. McKee, the floor is yours, ma'am.
Nitza McKee: Thank you, and welcome to today's call to discuss Duluth Trading's first quarter financial results. Our earnings release, which was issued this morning, is available on our Investor Relations website at ir.duluthtrading.com under Press Releases. I'm here today with Stephanie Pugliese, President and Chief Executive Officer; and Heena Agrawal, Senior Vice President and Chief Financial Officer. On today's call, management will provide prepared remarks and then open the call for questions. Before we begin, I would like to remind you that the comments on today's call will include forward-looking statements, which can be identified by the use of words such as estimate, anticipate, expect and similar phrases. Forward-looking statements, by their nature, involve estimates, projections, goals, forecasts and assumptions and are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. Such risks and uncertainties include, but are not limited to, those that are described in our most recent annual report on Form 10-K and other SEC filings as applicable. These forward-looking statements speak only as of the date of this conference call and should not be relied upon as predictions of future events. And with that, I will turn the call over to Stephanie Pugliese, President and Chief Executive Officer. Stephanie?
Stephanie L. Pugliese: Good morning, everyone, and thank you joining us today. First, I want to thank Steve Schlecht, not only for his leadership, but for his unwavering commitment to the Duluth brand over many years. His vision and passion have been a driving force behind this extraordinary company, and I am truly honored to once again have his support as I return to lead Duluth Trading. I'm back at Duluth because of my belief in this brand and its potential. Our customers have a deep affection for Duluth and they genuinely want us to succeed. What sets us apart in the marketplace is our unique blend of high-quality solution-based products infused with our brand attributes, authentic, humorous, hardworking and humble. Our products and our brand evoke an emotional connection that is truly distinctive in today's crowded retail landscape. Returning to Duluth has been really energizing. I've been reconnecting with familiar faces who have a long-standing commitment to this brand and continue to drive excellence while also discovering new talent throughout the organization. This team gives me confidence as we build on our strengths and implement initiatives necessary to deliver sustainable, profitable growth. I am leading with a sense of urgency, clarifying direction and taking action. Our operating model and processes need to be simplified quickly to restore financial health in the business. We will then position Duluth for long-term profitable growth. There are ultimately three key areas we will focus on to drive our business forward. First, brand awareness. Reinvigorating our distinctive voice and storytelling capabilities that have historically differentiated Duluth in the marketplace to drive customer acquisition and retention. Second, solution-based products and product innovation. Our year-round core product is foundational to our business, enhanced by new innovative solutions. This quarter, we saw success in products like Men's Flex Fire Hose HD, Wrinklefighter shirts, the introduction of women's NoGa Air and new innovations in AKHG. We know that when we clearly communicate the solutions we offer, we win. That is why, going forward, we will drive to a more focused product assortment that resonates clearly with our customers. We will narrow our assortment breadth with at least a 20% reduction of SKUs by spring 2026, while innovating in growth areas, including core men's and women's workwear, and adjacencies such as first layer and outdoor. This will create productivity gains in the assortment and enhance our ability to be more efficient in inventory purchases and marketing activities. And third, customer service, specifically leveraging our omnichannel model, balancing e-commerce and physical retail to create long-term value and meet customers where they prefer to shop, executing with excellence on our promise to deliver a great customer experience. These focus areas form the foundation upon which everything else will be built. But to be clear, before we can fully execute these initiatives, we must get back on track. We are taking decisive actions to get this great company and unique and powerful brand back on the path to profitability and growth. We have actioned an expense savings initiative to begin to rightsize the business and to protect against potential top line headwinds, which will result in annualized savings of approximately $15 million, of which at least $10 million of cost benefits will be realized in the current fiscal year. These expense actions are designed to reduce complexity in the business and increase our focus on innovation and our brand enablers. We are also embracing a holistic approach to our overall expense structure, which we know is higher than it needs to be. We are taking a hard look at processes, systems and team structures across the organization with the goal of further reducing our expense base, while becoming more efficient and effective in everything that we do. These efforts are directly aligned with my philosophy to simplify our operations as we shift our focus and the majority of our time and energy to brand awareness, solution-based product and product innovations and exceptional customer service. This approach isn't about starting over. It's about building on the progress made over the past few years in systems, sourcing, distribution and real estate strategy. Let me spend a moment on the work that was in flight when I arrived, and that will continue. Our direct-to-factory sourcing initiative is yielding great results, which not only reduce our cost of goods, but enable us to better innovate and bring that innovation faster to market. We will continue to leverage this strategic initiative as we adjust our product assortment and more clearly define our go-to-market strategy. We expect that over time, the flow-through of margin improvement will be further enhanced by the resetting of promotional activity, which we started in Q1 and have shown some early signs of success. The optimization of our fulfillment network has yielded automation and cost per unit savings as well as faster click to delivery times. We have rationalized our fulfillment network, but there is more work to do here. Importantly, we have made progress on the backlog issues we experienced over this past holiday season as we continue on our path to enhance operational protocols and planning processes. And finally, we will continue to reinvigorate and optimize our real estate footprint. With nearly 25% of store leases up for renewal through the end of 2026, each renewal is undergoing rigorous evaluation for remodel, relocation or closure. We are also looking at underperforming stores beyond near-term lease expirations. We have closed 1 location this fiscal year and are on track to open 2 new stores in the fall in priority markets. We know that we need to leverage our investments as efficiently and effectively as possible. Go forward, we will be focused on building our brand awareness, expanding our solution-based product and product innovation pipeline and elevating our omnichannel service, all with the goal of attracting new loyal Duluth brand customers and reactivating lapsed customers. While we have substantial work ahead, I am confident in our path forward. Our commitment to elevating and celebrating what sets Duluth apart in the marketplace, coupled with decisive actions to rightsize our expense structure and sharpen our focus on brand and product enablers is our path to future success. With that, I will turn it over to Heena for a review of our financial results for the first quarter and thoughts on our outlook for fiscal 2025.
Heena K. Agrawal: Thanks, Stephanie, and welcome back. In 2025, our key priorities are to reset promotions, restore price integrity, improve inventory management and strengthen operational execution. I will provide an update on our first quarter progress in these areas as well as discuss the impact of tariffs, our mitigation strategies, the rightsizing of our cost structure and the steps we've taken to manage cash and liquidity amidst macroeconomic uncertainty. Today, we reported first quarter 2025 net sales of $102.7 million, down 12% versus last year. Our reported EPS loss is $0.45, and adjusted EPS loss is $0.32. Adjustments to EPS totaled $4.5 million, including a $4.1 million increase in our deferred tax valuation allowance and $0.4 million in net impairment expenses. Adjusted EBITDA for the quarter was minus $3.8 million. Starting with the top line. Our Q1 net sales declined 12% and declined 10.2%, excluding the wholesale shipment shift from Q1 to Q2 versus last year. As part of resetting promotions, we reduced the number of days on promotion by 35% and reduced the depth of promotions from 25% to 20% on average. Direct channel sales, excluding wholesale, fell 14.6% as web traffic declined with conversion being roughly flat, partially offset by higher AOV. Mobile sales penetration increased by 200 basis points and mobile conversion continued to trend upwards. Retail store sales and profitability trends improved as we pulled back on promotions. Retail sales declined 2.6% as lower traffic was partially offset with improved shopper conversion. While we are continuing to fine-tune and reduce the frequency of promotions, we are seeing success with shallower promotions driven by higher AOV and improved retail sales trends and profitability. Gross profit margin rate declined by 80 basis points to last year from greater clearance penetration and deeper discounting during February's Big Dam clearance event. In March and April combined, gross margin improved by over 300 basis points versus last year as we saw the benefit of reduced costs from our direct-to-factory sourcing strategy further enhanced by resetting the depth and frequency of promotion. Reported SG&A spend was $65.7 million, and adjusted SG&A was $65.2 million, which was $5.4 million lower than last year, but deleverage as a percent of sales by 290 basis points due to lower sales and higher shipping and fulfillment costs. Advertising came in at 9.8% of sales, leveraging by 50 basis points as we rebalanced our upper and lower funnel spend. Inventory was $176.1 million, increasing by $39.7 million or 29% versus last year, compared to Q4 ending inventory, which was up 32% versus prior year. The key drivers of the year-on-year increase were approximately half or $20 million of the increase was in core year-round products. Roughly a quarter or approximately $10 million is a combination of pack and hold for fall/winter inventory and inventory for wholesale shipments that are moving from Q1 to Q2. We ended the quarter with a current inventory mix of 91% and clearance inventory mix of 9%. This compares to clearance inventory mix of 7% at the end of Q1 last year and an improvement versus 10% at the beginning of this quarter. We ended the quarter with cash and cash equivalents of $8.6 million and borrowings of $64 million on our credit facility versus $11 million last year. We are beginning to realize the benefit of rebalancing our inventory receipts to sales plan and expect our peak borrowing to be behind us. Our net liquidity was $45 million at the end of the quarter. In late April 2025, we finalized a successful transition of our line of credit to an asset-based lending agreement. This new agreement extends to 2030 providing a $100 million limit with improved borrowing rates and increased flexibility compared to our previous revolver contract, which was set to expire in 2027. Now turning to our outlook for fiscal year 2025. We are maintaining our fiscal year 2025 financial guidance. The adjusted EBITDA range of $20 million to $25 million considers several factors, including: First, our ability to offset the current tariff rate with targeted price increases, vendor negotiations and management of future receipts; second, we are reducing expenses in part to protect from the top line headwinds as we continue to reset promotions, as well as recognition of the current uncertain macroeconomic and customer environment. Lastly, we are continuing to revitalize our store portfolio, under which we closed 1 low performing store in May 2025, renewed leases on stores that met our higher hurdle rates and are on track to open 2 new stores in the second half. The above does not include additional tariff impact beyond the current 30% on China and 10% on the rest of the world. Elaborating on tariffs, we currently anticipate approximately $14 million in additional product costs from the 10% tariff implemented in April 2025. Our exposure to China is minimal with less than 1% of current year receipts impacted. We will be implementing targeted price increases in select categories and items based on price elasticity and key price thresholds to recover the increase in cost. We are also partnering with vendors to share in the cost impacts. Finally, given our current inventory position, especially in year- round goods, we are further managing the timing of future receipt of goods. As we rightsize the organization and manage the revenue impact of price and promotional adjustments in a changing economic landscape, we've secured over $10 million in cost reduction for the current year as we better align our organizational expenses with the current scale of our business. As Stephanie mentioned, we will be undertaking additional measures to simplify the business, reduce complexity and cost in multiple areas. We are rationalizing our assortment and focusing our innovation and inventory on core men's and women's workwear and first players and outdoor adjacencies. We are on track to reduce apparel SKUs by more than 5% in fall 2025 and by more than 20% in spring/ summer 2026. We are also on track to reduce SKU count in the non-apparel hardgoods portfolio by double digits starting in fall 2025. Next, we are actively refining our store portfolio, focusing on underperforming locations to improve overall productivity. Finally, we are evaluating additional actions to optimize our fulfillment center network to reduce cost and complexity and improve service. Now an update on our balance sheet and capital expenditures. First and foremost, we expect inventory levels to normalize in the second half of the year with the rebalancing of sales and inventory receipts. We anticipate end of the year inventory to be down double digits compared to prior year. As a result of the reduced and rightsized receipts, we anticipate being past our peak borrowing levels. Next, we have reduced our capital expenditure plan by $3 million, mainly in systems investments to approximately $17 million. We are continuing to fund store openings, Manhattan omni fulfillment software and regular maintenance. Finally, we have successfully transitioned our revolving credit facility to an asset-based lending facility with lower borrowing rates and higher flexibility in maintaining liquidity and access to cash. To summarize, we are cognizant that we are operating in an uncertain environment and are therefore keenly focused on managing all aspects of our business prudently. We are making progress as we reset promotions to restore price integrity, enhance inventory management and strengthen operational execution. These efforts will enable us to fully realize the benefits of the progress on our strategic initiatives and structural enhancements over time. We are being agile in offsetting the impact of tariffs, taking decisive actions to rightsize our expense structure, and under Stephanie's leadership, sharpening our focus on brand and product enablers. With that, we will now open up the call for questions.
Operator: [Operator Instructions] The first question we have will come from Janine Stichter of BTIG.
Janine Marie Hoffman Stichter: Welcome, Stephanie.
Stephanie L. Pugliese: Thank you.
Janine Marie Hoffman Stichter: I was hoping you could speak a bit more about one of the first things you mentioned around building brand awareness. I think you said marketing leverage during the quarter, but -- how should we think about marketing going forward? Could we potentially see some of the savings that you're finding in other areas reinvested back into marketing? And just maybe some more color on broadly how you think about driving brand awareness.
Stephanie L. Pugliese: Sure, sure. So I think one of the biggest things that we're starting to evaluate and starting to see some initial success with is the investment in the marketing funnel overall, particularly in the upper part of the funnel, which is driving brand awareness. An example, just recently, yesterday, we were featured on Good Morning America for Father's Day. So those opportunities to get our name and our voice and our products, quite frankly, out a little bit further than even some of the traditional marketing ways are places that we are looking to utilize and invest in. The team has started that work. We started to see a little bit of the progress that's being made. We're doing more testing in second quarter as we look at driving not only awareness but visits to both our website and our stores. And ultimately, Phase 1 is -- of that is reevaluating the marketing funnel to be able to create that awareness. And then as we continue to find savings and expense reductions in other areas of the business and see the return on the marketing investment improve, that's where we'll start to ship those dollars. But we're just at the beginning of that phase.
Janine Marie Hoffman Stichter: Great. That's helpful. And then maybe one more just around the promotional reduction you're seeing. Maybe speak a bit more about what you're seeing from the consumer as you pull back on promotions. I think you said in March and April into May. And then -- how to think about what kind of price increases we might be seeing and your expectations around how the consumer might respond on that?
Stephanie L. Pugliese: Sure. So -- what we saw as we kind of came through first quarter was sequential improvement in our gross margin rate. And really in the months of March and April was where we started to see the beginning benefits, if you will, of the promotional pullback. From a customer perspective, one of the things that we continue to look at is how we maximize customer retention and acquisition, not only through our marketing activities, but also through the promotional cadence that we have. As Heena mentioned, we haven't pulled back dramatically on promotions. We pulled back on some of the length of time of promotions and, to a certain extent, the depth of promotions, but we'll continue to balance that. Watch not only the top line and gross margin results but also the customer retention and acquisition results. And continue to pull different levers whether that is promotional activity, things like free shipping and/or upper to lower funnel marketing activities to maximize across both financial results and customer file results, if you will. In terms of the pricing -- the increase in prices, we are mitigating some of the expected tariff implications with select price increases. They are in areas where we know that we have a unique product in the marketplace that obviously you can only get within our own channels. And -- so we're selecting those products that we feel like we have the pricing elasticity to do so. That said, we're being really cognizant of the fact of continuing to offer a good portion of our product assortment that is in value prices and particularly when you consider the innovation and the quality that we put behind our products, we believe that value equation will help us as we balance on pricing in the future.
Janine Marie Hoffman Stichter: Yes. And just...
Heena K. Agrawal: To add on the promotions piece, Janine, we are seeing a lot of green shoots, especially as we reduce the depth of the offers. We are seeing positive trends in conversion, in higher full price sales and especially on our store channel, we are seeing better trends, both in terms of top line and profitability. When it comes to frequency, we are refining it. And as we refine the frequency, we are seeing that sequential trends as we go from March to April to May.
Stephanie L. Pugliese: I'm not sure if we've lost the line. We are having some difficulty hearing. So I'm assuming that there are no more questions, and just wanted to share some closing remarks for everyone. So in closing, we're approaching our work in phases. First, taking decisive actions to simplify the business, reduce our expense structure and continue to optimize the investments we've made in infrastructure. And then second, we're focusing on the key areas of brand awareness, solution-based products and product innovation and customer service. I will be conducting an in-depth review of our brand and product portfolio as we look to invigorate the Duluth business overall and in the longer term, capture the full potential of the brand. As we move forward, our priority will be to execute with a simplified framework. I'm confident that by clarifying our priorities and doubling down on what makes Duluth truly special, which is our solution-based products and customer-centric philosophy that we can once again achieve profitable growth and deliver value to our shareholders over the long term. I'm thrilled to work alongside this talented team to write the next chapter for Duluth, as I look forward to sharing more details on our progress on future calls. But for right now, I'm focused on aligning our organization around these priorities to drive our sustainable results. Thank you all for your continued interest and support, and I look forward to updating you on our progress in the quarters ahead. Thank you.
Operator: And we thank you, ma'am, for your time today also. The conference call is now concluded. At this time, you may disconnect your lines. Thank you. Take care, and have a great day, everyone.